Operator: Good morning, ladies and gentlemen and welcome to the OptiNose Q2 2020 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Jonathan Neely, VP of Investor Relations.
Jonathan Neely: Good morning and thank you for joining us today as we review OptiNose’s second quarter 2020 performance and our plans for the year ahead. I am joined today by our CEO, Peter Miller; our President and Chief Operating Officer, Ramy Mahmoud; our Chief Commercial Officer, Vic Clavelli; and our CFO, Keith Goldan. The slides that will be presented on this call can be viewed on our website, optinose.com, in the Investors section. Before we start, I would like to remind you that our discussions during this conference call will include forward-looking statements. All statements that are not historical facts are hereby identified as forward-looking statements. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those indicated by such statements. Additional information regarding these factors and forward-looking statements is discussed under the cautionary note on Forward-Looking Statements section of the earnings release that we issued today, as well as under the Risk Factors section and elsewhere of OptiNose’s most recent Form 10-K and Form 10-Q that are filed with the SEC and available at their website sec.gov and on our website at optinose.com. You are cautioned not to place undue reliance on forward-looking statements. Forward-looking statements during this conference call speak only as of the original date of this call or any earlier date indicated in such statement, and we undertake no obligation to update or revise any of these statements. We will now make prepared remarks, and then we will move to a question-and-answer session. With that, I will now turn the call over to Peter Miller. Peter?
Peter Miller: Thanks very much, Jonathan, and good morning, everybody. We appreciate you joining us for our second quarter update. To start, I would like to commend and thank everybody on the Optinose team for the outstanding job this quarter. We moved rapidly to adapt our business to an environment reshaped by the coronavirus pandemic and continue to drive the growth of XHANCE. While there will likely be continuing challenges related to COVID-19, our performance this quarter continues to reinforce my belief that this team is well on the way to delivering on the promise of XHANCE, and I feel stronger than ever about our ability to build a very successful business. Starting on Slide 3, we will go into more detail in a moment, but I’d like to start by providing five key takeaways from today’s presentation. First, we believe XHANCE demonstrated remarkable resiliency as we successfully adapted our COVID – our business to the COVID-19 environment. XHANCE prescription volume continued to grow in the second quarter, which was impressive, given the major disruptions to patient volumes and care pathways. Total prescriptions grew 84% year-over-year and quarter-over-quarter prescriptions grew 11%, and we continue to see growth in July. For context, based on third-party data, we believed in the first 6 to 8 weeks of the quarter, physician offices experienced a 50% to 75% decrease in patient visits compared to pre-COVID-19 norms and, based on interactions with our field force and customers, we believe ENT and allergy practices were similarly impacted. As public health restrictions began to lift in late May, patient visits to ENT and allergy physician offices began to improve, but we estimate that the visits continue to be below pre-COVID-19 baseline, though with substantial regional variation. In a few moments, I will discuss more about what we did to adapt and how we will continue to achieve XHANCE growth moving forward in this environment. Second, we recently announced a co-promotion with kaleo. We’re excited to partner with kaleo and leverage the strong relationships they have built with physicians in our target audience. Kaleo will promote XHANCE to an agreed-upon audience of office-based healthcare professionals rapidly increasing both promotional reach and frequency for XHANCE. The co-promote audience is large, including nearly 6,000 prescribers, about half of whom are incremental to the current Optinose called on universe. We expect kaleo sales representatives to train in third quarter 2020 and to commence in-person detailing by October 1. We have been impressed with the management team and business results that kaleo has produced and look forward to a strong partnership that we believe can have meaningful impact on XHANCE adoption. Third, we are very encouraged by the significant growth in XHANCE market share that was achieved in the second quarter environment, our strongest share growth ever and believe this is indicative of resilient demand for XHANCE compared to the market as a whole. Importantly, there still remains enormous headroom for additional growth. Fourth, despite the challenges of the COVID environment, we are maintaining our financial guidance for operating expenses and for increasing XHANCE net revenue per prescription for the remainder of 2020. In addition, we continue to expect initial results from the chronic sinusitis clinical developmental program in the second half of 2021, which, if positive, we believe will be a major driver of value for the company. And fifth, we have a strong balance sheet with $125 million of cash as of June 30. We believe that our existing cash plus additional funds that may be available under our debt facility with Pharmakon could fund operations until we have top line data from at least one of the CS trials expected in second half of 2021. Turning to Slide 5, turning to our results, I’d like to begin with market share as we believe it is the best way to illustrate the resiliency and disproportionate market demand for XHANCE through the second quarter 2020 environment. COVID-19 challenged us to build new customer engagement capabilities and to revisit and refresh our commercial strategy in ways that we believe that position us to emerge from the initial phase of the pandemic with renewed brand and organizational strength. From a promotional perspective, during the second quarter of 2020, we learned how to interact remotely when necessary, incorporating digital tools where appropriate with physicians in our target audience. This is important because we expect to leverage this capability even after the current pandemic is resolved. Importantly, our success with these tools increases our confidence that our business can continue to be resilient in the event of future disruptions. Though broadly reduced patient flow creates a challenge, we also believe that COVID-related disruptions in patient flow and pathways for patient care, including an increasing number of doctor visits via telehealth and delays in elective surgery creates opportunity, because XHANCE can help physicians manage patients in remote or delayed care scenarios. To facilitate this, during the initial months of the pandemic, we launched the ASSIST program. The ASSIST program offered $0 patient out of pockets for the first refills as well as support through a hub for new commercially insured patients. We closed the ASSIST program to new patients at the end of June and returned to our previously successful copay support programs. We have received great feedback from physicians regarding the support we rapidly stepped up to provide to patients as the pandemic started. We look forward to emerging from the early phases of the crisis and seeing the steadily growing recognition of the benefit of XHANCE in general and particularly as a bridge during care disruptions help position XHANCE for continued growth. Slide 5 illustrates this market disproportionate strength of XHANCE during the second quarter as reflected in share. Share is expressed as a proportion of all intranasal steroid prescriptions written by the physicians in our target physician audience. You can see that share increased from 2.2% in second quarter of 2019 to 5.6% in second quarter of 2020. But what I would especially like to draw your attention to the sequential increase from first quarter to second quarter 2020, as you can see, in the face of the unusual circumstances on our responses during the second quarter, XHANCE share grew almost two full points over the first quarter, the strongest incremental growth we have achieved since launch. As patient volumes hopefully continue to return, we are focused on sustaining and continuing to build off this base. Turning to Slide 6, in second quarter 2020, there were 18,700 new prescriptions for XHANCE, a 20% increase in new prescriptions compared to second quarter 2019. The COVID-19-related collapse in patient flow this year had an impact on new treatment initiation early in the quarter, and following that reset, new prescriptions returned to a strong growth trend and in recent weeks are approaching the prior all-time highs that were set in the first quarter of 2020. Refills supported by reminder programs managed by our preferred pharmacy network partners, and we believe reflective of patient outcomes producing persistency after initiation are a major contributor to the resilience of XHANCE. In second quarter 2020, there were 43,800 refill prescriptions of XHANCE, a 139% increase compared to second quarter 2019. This increase reflects a continued trend we have seen over the past 18 months in the number of prescription fills per patient per year within our preferred pharmacy network where we can assess this using de-identified patient-level data. This number has steadily grown from three year ago to more than four in recent months. This trend is very encouraging and we believe is reflective of patient feedback. We have new patient survey data reinforcing previous survey data that suggest a strong majority of patients previously using other nasal steroids experienced symptom improvement with XHANCE prefer XHANCE to other treatments and are net promoters of the product. Turning to Slide 7, pulling the new and refill prescriptions together, the total number of XHANCE prescriptions in the second quarter of 2020 was approximately 62,500. This represents 84% growth over the second quarter of 2019. What really stands out is how strong the year-over-year and quarter-over-quarter performances were for total and new prescriptions, given the significant declines in INS market volumes that were driven by the COVID-19 pandemic. These gains, coupled with the INS market decline, translated into the strong market share growth I covered a moment ago. Turning to Slide 8, breadth and depth of prescribing is measured by the total number of physicians who have patients filling XHANCE prescriptions increased over prior year despite the substantial decrease in patient flows that we discussed earlier. Regarding breadth, in second quarter 2020, approximately 6,209 physicians had a patient fill at least one prescription of XHANCE, an increase of 40% compared to second quarter of 2019. Regarding depth, the number of physicians who had more than 15 XHANCE prescriptions filled by their patients in a quarter has grown even faster, with that number increasing by 97% from second quarter 2019 to second quarter 2020, with now more than 1,000 physicians in this segment. While the strong growth trend in breadth and depth was blunted quarter-over-quarter during this spring, we believe that as patient volumes recover from the dramatic decline of second quarter, we will see a return to sequential growth in both breadth and depth. We believe this sustained trend of growth here illustrates, again, the resilience of XHANCE and long-term potential as we see even the COVID-19 environment as an increasing number of called-on physicians became full-scale adopters. Growing the size of this group remains a strategic priority for the company and is a significant focus of our commercial team. In a few moments, I will provide some closing remarks, but I’ll first turn the call over to our CFO, Keith Goldan, for comments regarding our second quarter 2020 results and perspectives regarding our corporate guidance.
Keith Goldan: Thank you, Peter and thank you everybody joining today. Turning to Slide 10, as we reported, Optinose recognized $10.3 million of XHANCE net revenue in the second quarter of 2020. As noted on prior calls, one of the metrics that we track is XHANCE average net revenue per prescription, which is calculated by dividing net revenue for the quarter by the estimated number of XHANCE prescriptions dispensed during the quarter. We continue to believe this is a useful metric to evaluate net revenues generated per prescription. However, we remind you that this metric is subject to variability. That variability is a result of factors that do not necessarily reflect a change in the price that is paid for an individual unit of XHANCE, including ordering patterns and inventory levels for our wholesale customers and pharmacies that we sell to directly; utilization rates of patient affordability programs, the proportion of patients acquiring XHANCE through an insurance benefit and other factors. Based on available prescription data purchased from third-parties and also on data we received directly from our preferred pharmacy network, XHANCE average net revenue per prescription for the second quarter of 2020 was $164, a nearly $40 increase compared to $126 in the first quarter of 2020 and consistent with the expectation of improvement for the remainder of 2020 that we previously communicated. Moving to Slide 11, this morning, we are maintaining all aspects of our previous corporate guidance. First, we expect that XHANCE net revenue per prescription will continue to improve through the remainder of 2020. The major factors that influence our gross to net deductions have not experienced structural changes relative to where they stood in 2019. Overall market access, which drives rebates, is generally consistent and the terms of our base copay assistance program are unchanged. In addition, the end of the short-term ASSIST program, which we believe supported our accelerated share growth through the disruption associated with COVID-19, should also contribute to improvement in the second half of 2020. Second, for the full year of 2020, we expect total operating expenses to be in the range from $131 million to $136 million, of which approximately $11 million is expected to be non-cash stock-based compensation. Total operating expenses, excluding stock-based compensation, are therefore expected to be in the range of $120 million to $125 million. Finally, regarding our clinical trials evaluating XHANCE as a potential treatment for chronic sinusitis, while ongoing changes in worldwide COVID-19 restrictions remain fluid and add some uncertainty, we continue to expect top line results from both trials in the second half of 2021. I will now turn the call back over to Peter to give some closing remarks. Peter?
Peter Miller: Thanks, Keith. Turning to Slide 13, before opening the call for Q&A, I will take a moment to discuss the OPN-019 program that we announced at the end of June. We have initiated this new program to take advantage of our proprietary nasal Exhalation Delivery System to enable delivery of an antiseptic to broad surface areas throughout the nasal cavity. The active ingredient of the broad spectrum antiseptic formulation we are developing has been shown in third-party studies to kill the virus that causes COVID-19 in vitro. But being able to coat the entire high and deep surfaces of the nasal cavity has historically been a major challenge. We believe our EDS technology is uniquely suited to solve that problem in a way that standard approaches like nasal sprays do not. COVID is caused by a respiratory virus that often infects people through the upper airways, which is why we use masks and social distancing to reduce transmission. Our EDS drug delivery technology is ideally suited to spread medicine throughout deep areas of the nasal cavity, where the COVID virus appears to be multiplying and shedding, so we think this has potential to be a winning combination. Because the planned components of this drug/device combination product candidate include both the active drug and delivery device, are currently commercially available in the U.S., we expect streamlined and accelerated development. We expect to have final formulation soon and once available, plan rapid in vitro experiments to verify antiviral activity. Interaction with the FDA to discuss an IND is planned shortly thereafter. Overall, we envision an accelerated clinical program, both because of the wealth of prior data supporting the product components and because of the pressing societal need for an intervention that fills the role OPN-109 is intended to fill. We are committed to supporting the inexpensive initial stages of development with our current operating expense plan and are seeking grants, partnerships, and other sources of capital to support further development. To be clear, while we and other parties are excited by the potential of this new drug/device combination to help combat both the current pandemic and future public health crises. Our focus remains on growing XHANCE and building a leading ENT and allergy company. Thank you. And now I would like to open the call for Q&A.
Operator: [Operator Instructions] Your first question comes from Gary Nachman with BMO Capital Markets.
Rafay Sardar: Hey, good morning. It’s Rafay on for Gary. So net revenue per prescription was $164 versus $197 in 2Q last year, can you help quantify the components of that delta? How much of a drag was there from the ASSIST program and how should we be thinking about net revenue per prescription the second half of the year relative to the second half of 2019?
Keith Goldan: Rafay, this is Keith. Thanks for the question. I will take that one. So, first, I want to say that we started from a lower base in 2020 than we did 2019. The increase we experienced this year, as I mentioned in my comments, almost $40 compared to the increase we saw last year, the $177 to $197, was $20 and that was driven by a couple of factors. The lower starting point was driven by, as we talked about on our 1Q call, the annual insurance deductible resets that interacted in the early part of the year with the increase in the year-over-year proportion of our prescriptions that were refills. So that’s why we set guidance for the first quarter of the range $120 to $140. I noted the improvement this year was substantially greater than what we have seen last year quarter versus quarter. And while the revenue per prescription is not back yet to the 2019 levels, the gap is closing and we believe there are factors, including ones that are unique to this year specifically around COVID, that give us confidence to give the guidance that we gave that we continue to expect the average net revenue per prescription to increase throughout the year. We expect the patients to continue to meet their out-of-pocket insurance deductibles. As that progresses through the year, that’s going to contribute to less co-pay assistance that we contribute, as well as the ending or the sunsetting of the ASSIST program. As Peter mentioned in his comments, that program provided three prescriptions at no charge to patients that included all commercially eligible patients, whether they were covered or not. So, while we expect to see some weight on our early third quarter average revenue per prescription as the patients continue to fill on the ASSIST program, that the sunsetting of that in June is going to contribute – one of the contributing factors to increases through rest of the year.
Peter Miller: Keith, I would add a couple of things to that, which is, we said, historically that this year the two major fundamental things that drive gross-to-net deductions are not terribly different, meaning rebates and the patient affordability program, other than the choice we made for the ASSIST program in 2Q. And that explains a good bit of the differential year-over-year. And the balance, by the way as you know, this average net revenue per prescription, there’s a lot in that number and it’s influenced by things like shipments, which aren’t necessarily truly reflective of the price. But all-in-all, we continue to feel real confident that we are going to grow share – we are going to grow price over the year, because, as I said, the structural components of our pricing really haven’t changed dramatically.
Rafay Sardar: Great. Thanks. And then on the kaleo partnership, could you provide some color on the economics there and how those are calculated, given some of the overlap in the physician call audience? How many of the kaleo reps will be promoting XHANCE? Thank you.
Peter Miller: Yes. I will let Vic Clavelli, our Chief Commercial Officer, take a portion of that. We can – Keith and I can fill in. But maybe talk about the called-on universe, Vic, and then we can maybe get into the economics.
Vic Clavelli: Yes. Thanks very much. So, kaleo is going to call on roughly an incremental 6,000 physicians for us. About half of those are already within our called-on universe and they are just going to increase the frequency at which we reach those customers. The other half are going to be new customers for us, and so they are going to allow us to extend the number of customers that think about XHANCE within their patient base. And – yes.
Peter Miller: Yes. And regarding economics, the first group that Vic mentioned, we are going to pay on a cost-per-call basis. We have built into kaleo’s plan, however, incentives on sales force to make sure that the business is being driven in that universe as opposed to just relying on a pay-for-call, because obviously you have to align incentives and make sure we are growing the business. On the 3,000 of that are not called on, we are paying on a per-script basis. So, that is where there is complete alignment of the kaleo team to just drive incremental volume, and we are going to pay on a per-script basis for what they drive.
Rafay Sardar: Great. Thanks so much.
Operator: Your next question comes from Brandon Folkes with Cantor Fitzgerald.
Brandon Folkes: Hi, thanks for taking my questions and congratulations on the quarter. Can you just elaborate a little bit on the patient funnel that you are seeing in July? From both sides, firstly on patients that are less willing to go and have surgery now in the current environment and maybe managed on at home. And then secondly, the process of getting these new patients onto XHANCE, just any color around that. And then secondly, if you can just provide some color around the scripts on nasal polyps versus the CS patient and if you do have the data persistency around the population and split between those two populations as well? Thank you.
Peter Miller: I will start, and Vic can add any color on patient flow. And, Brandon, I will start with just the absolute number of patients, and we don’t really have data on this. So, I am going to give it to you anecdotally. But we estimate that patient volumes are down and it really varies geographically probably somewhere between zero and 25%, depending on the office, depending on the geography. So, I would sort of start there relative to how July is sort of looking, if you will. What’s interesting, Brandon is if you look at year-over-year category, the category is sort of back to where it was a year ago. So, we are sort of thinking about it as if we sort of missed the season, if you will, because of the COVID pandemic. But it feels like category has reasonably normalized. And I just bring that up because if patients continue to return, there’s a real potential for tailwind in the back half of the year, as you see the second season in late August, September, October. We can’t count on that, but it’s something we are currently really watching. So that’s just sort of on a broad patient flow and script. Now, relative to your specific question on patients and surgery and delays of that effect, there really is variation there. In some areas, surgery has really returned to pre-pandemic norms. We are seeing a fair amount of patients who are interested in surgery. However, there is no doubt there are a reasonable number of patients who do not want to get surgery right now. And physicians, some of the ENTs don’t have the same throughput they have had historically on the surgery front because of some of the procedures they need for cleaning in offices. And as I stated earlier, Brandon, in the remarks, we think XHANCE is ideally suited for those patients, because of the data we have on our efficacy that you are very familiar with. We bring enormous benefit to those patients. So, we are obviously working, our sales team is working with offices in ways that XHANCE can be used as a bridge, as we say it, for those patients. The process of getting those patients on XHANCE, as you know, one of the benefits of our preferred pharmacy network is even if patients aren’t coming into the office, there can via telehealth be a prescription that’s prescribed and it gets mailed directly to a patient’s home. So, in an environment where some patients may not be comfortable getting into a physician office, as I said, we just think XHANCE is well-positioned. And frankly, we think that some of the reason we saw the very strong share growth that we had in the quarter. Vic, do you have anything to add on patient flows and things of that nature before we get into the split between nasal polyps and chronic sinusitis?
Vic Clavelli: No, I think that was a real nice summary, Peter. I mean, we really saw the pandemic as an opportunity to think about the patients that we were competing for when they are in the offices. And we looked at it as an opportunity to both increase our discussion about use of XHANCE in that pre-surgical patient perhaps and including those patients who are delayed to surgery. And we also looked at an opportunity especially in the allergist community to talk about the symptoms that patients are presenting with so that physicians could consider an empiric treatment decision when that was appropriate for their patients, and both of those allowed us to have XHANCE chosen in a broader range of their patients.
Peter Miller: Relative to your last question, Brandon, on the split between nasal polyps and CS, it’s really very stable. We have about – a third roughly of patients are diagnosed with nasal polyps. And as I think, Brandon, that data is – it’s certainly not census data. It’s a reasonable estimate, and that about two-thirds of patients outside of the polyp indication, and we don’t see real dramatic changes in that split.
Brandon Folkes: Thanks. And then, just with the growth in refills, are you seeing persistency creep up?
Peter Miller: We have, Brandon. I mean, we are really encouraged on the refill front. As I said, steadily growing from about 3 18 months ago. And I think we have really good data on this, because the preferred pharmacy network is the significant majority of our business. We get de-identified patient data and it’s truly census data. We know every single patient. We track them on a monthly basis in cohorts. And we have been over four – up into the mid-fours, frankly, in some of the months over the past several months. So, we are very encouraged by growth in refill. And it’s clearly one of the major factors that allowed us to achieve the resiliency that we had during the pandemic. But by the way, I want to highlight, too, we are very pleased with new prescriptions. And as I mentioned in the script, we are actually back to reasonably the levels of new prescription that we were achieving, the record highs that we were achieving pre-pandemic, and it’s obviously that’s the base that we now hope to grow off of.
Brandon Folkes: Great. Thank you. That’s very helpful. Congratulations on the quarter.
Peter Miller: Thanks, Brandon.
Operator: Your next question comes from Stacy Ku with Cowen.
Stacy Ku: Hey, guys. Thanks for taking my questions and congratulations on the quarter. Another commentary on the strong refills, can you talk a little bit more about that regional usage? Is it potentially related to the early pilot DTC program? And then, what are expectations for adding new patients, given the modest recovery for in-house visits? And I have a few follow-ups.
Peter Miller: Refill was really not impacted at all by DTC. I think the thing that’s driving refill is two things. Number one, it’s our pharmacy network and our pharmacy partners do a really good job of refill reminders, just to make sure that people are aware that they’re eligible for a refill. But I think more than anything, Stacy, it’s the product. And as I say again and again and again, the one thing I know with complete certainty is this product really works pretty substantially different than other products previously, especially the intranasal sprays. And as, we have data that suggests we were comparable to surgery. So, I think the growth in refills, I think, is largely due to the product. So, I would characterize that. Ramy or Vic, I don’t know if you have anything to add to that?
Ramy Mahmoud: We’ve said – the comments about regional variation that we made in the prepared comments, we are primarily referring to the significant regional differences in how the COVID pandemic was affecting patient flows, and not so much referring to differences in the regions where we did or did not have DTC.
Peter Miller: Yes. Thank you, Ramy, for that. DTC, I will just comment on it since you brought it up, is that we continue to evaluate DTC. We had to stop our DTC test a little bit earlier than planned in the first quarter because of the pandemic we made that decision. But we are very encouraged by what we are seeing in DTC. The thing, as I’ve mentioned historically that we now know, pretty firmly is that we can activate patients, that we did a very strong job in the pilot markets of Hartford, Charlotte, and Cleveland of activating patients. And we’re sort of figuring out how we can make sure those activated patients get to the right offices or we have to figure out how to expand coverage so, I just have no doubt that DTC is – there’s going to be a role for DTC at some point in the lifecycle of this product, especially as we expand the label and therefore, broaden the target audience of physicians that we are calling on. We are just trying to figure out what the right time is to broaden at this point. Relative to new patients, as I said, I was really very encouraged that – if you look at the most recent weeks in new prescriptions, we are back to where we were pre-pandemic. And it’s interesting when this whole thing started, we started doing our modeling and we sort of thought, boy, if we can get back to new prescriptions being by the end of July reasonably comparable to where we were pre-pandemic, we thought, okay, that’s going to be a good base to grow off of. And that’s where we are right now so, what we are hearing from physician offices around the country is that – and there really is regional variation here, but offices are pretty busy, the ENT and allergy offices. And I think the physicians have done an outstanding job, I think, of creating an environment which creates a safe environment for patients to come back to. Some are going to be reluctant, but many are comfortable going back. And I’m actually very encouraged especially with some of the surges that you saw in some of the parts of the country. We, obviously, can look at prescriptions in some of those markets in Texas and in Arizona, and patient volume appears to be holding reasonably strong.
Stacy Ku: Got it. Great. And the kaleo promotion starting in Q4, just to clarify, would this be only for in-office visits or do they have a telemedicine presence? Thanks.
Peter Miller: It’s all in-office.
Stacy Ku: Okay. Thank you.
Operator: Your next question comes from Randall Stanicky with RBC Capital Markets.
Randall Stanicky: Hey, great. Thanks, guys. Peter, the story is all about growing prescriptions. So, help us think about the timing and what we should expect from kaleo. I presume that you need to do some training, and so this is probably more about looking at 2021, maybe early 2021. But help us understand what we should expect in terms of the opportunity to lift scripts from that partnership. And then the other follow-up to that is we are going into the summer, we’re also in a pandemic, so it’s obviously not normal times. But how should we think about seasonality? Recent prescription growth has been strong. So, just in terms of expectations over the summer, what should we be thinking about with respect to that? Thanks.
Peter Miller: Yes. I will start on kaleo and I would like Vic to give color, because Vic has really done a tremendous job working with the team at kaleo and we are very excited about that partnership. And I think that team has built a very strong business, and for four years has been calling on allergists with one product. So, they have deep relationships with the target audience of allergists that they are calling on. So, we are excited by not only what they’ve done, but the chemistry that’s being developed between the teams. Relative to impact, Randall, as we said in our prepared remarks, training is going to occur in the third quarter. Their season is really in the summer months for their EpiPen product historically anyway. So there – we didn’t want to disrupt that, if you will, but we do think that heading into September, there should be good training that goes on Auvi-Q, thank you, Vic is going to make sure I talked to brand. They, as I said – I think they have best-in-class, an EpiPen and the Auvi-Q product, it’s really a very strong product. But their season is in the summer, so we didn’t want to disrupt that. We wanted a partnership that’s really designed to work for both parties. Their season starts to tail in sort of mid-September, that’s when we will start up our training. And then, we expect to have them hitting the ground in early October. One of the advantages – it’s hard for us to predict the impact, Randall, one of the things that Auvi-Q – that kaleo brings to the table is deep relationship with physicians. So this is not like we are hiring some force that has to develop new relationships with docs. They have deep relationships with these docs. Now, what that’s going to produce, we will have to see, but it’s part of the reason we are excited about it. I mean, I think it’s going to be more of a 2021 impact frankly more than a 4Q this year. But as I said, I think they are going to hit the ground running as in 4Q. Vic, do you have anything to add?
Vic Clavelli: Yes. I mean, the way I think about it really in the two cohorts of doctors we are calling on. And those doctors that we are already calling on, they are going to help us get that message about XHANCE in front of them more consistently. And so, we would expect that to have a...
Peter Miller: And Vic, by the way, just – Randall – you have heard us talk, Randall, we are a very promotionally responsive product. And the reason we did this deal is that, when we get additional contacts with docs, we see response. And we believe this was an efficient way to get contacts versus things like sales force expansion. But, Vic, please go on and talk about the second segment.
Vic Clavelli: Yes. Second segment, we know it takes somewhere between seven to 12, maybe let’s say an average of 10 calls for a doctor to begin integrating XHANCE into his or her practice. And so that’s what we’re looking at.
Peter Miller: In terms of seasonality, Randall, I should have alluded this in my last remarks, but it’s hard to predict honestly. But if – I’ll give you the facts that if you take last year’s, the category, so not our brand obviously, but the total category of INS prescriptions and you do an overlay of 2020 versus 2019. What’s interesting is that, where the market is in the July timeframe is about where the market was in July of last year. So, one thing we think could possibly be happening is that, we missed out, if you will, on the surge of patients you see in the allergy season – in the spring allergy season because people weren’t willing to go into offices. And many of those patients, as they don’t – they just forego care, they don’t show up again in the summer. They sort of dealt with their issue despite not going into the doctor. Now, we don’t know this, but I alluded to this, if truly the category is somewhat normalized in the July timeframe, there certainly is a possibility that you could see a really nice tailwind, and you will now see the normal sort of seasonal lift that you see in the August/September/October timeframe. But I want to be really candid with you, Randall, that’s hard for us to predict that. So I gave you the days that we have available, that we’re looking at, but it’s going to be hard for us to predict. But you said the right thing, which is, we are very focused on growing prescriptions not only refills but new prescriptions.
Randall Stanicky: Fair enough. That’s helpful. And Peter, we didn’t talk about business development so far on the call, is that something that’s even in your thinking right now? Are you solely focused on growing XHANCE?
Peter Miller: It is, Randall. I mean, we’ve said all along that our ambition is to build a leading ENT and allergy company. And we have always said, job one is to get XHANCE firmly established in the market. And we think we have some work to do there. We think we are well on our way to accomplishing that. But I think there is – it’s certainly in our thoughts to think about bringing products into the company either via co-promote or likely via co-promote or we become the commercial partner for the product in in-licensing deal at some point in 2021. And obviously there’s a fair amount of activity on the OPN-019 relative to partnering.
Randall Stanicky: That’s great. Thanks, guys.
Operator: Your next question comes from David Amsellem with Piper Sandler.
David Amsellem: Thanks. Just a couple. So, first, on the reimbursement front for XHANCE, can you just talk through what you think you needed to do to improve access, if anything? And with that in mind, do you think you need to contract more aggressively going forward? I am just trying to get a sense for what your long-term strategy is regarding reimbursement, whether it’s anything you need to do differently or stay the course? That’s number one. And then, my second question is related to the chronic sinusitis non-polyp indication. You talked in the past about some sales force expansion, perhaps a co-promote. Can you update us with your latest thoughts on what you would plan to do or what you’re thinking of regarding accessing general practitioners more broadly to the extent you do have favorable data in non-polyp patients? Thanks.
Peter Miller: Yes, I will start on access. And I really like Vic’s comments, because as I think you guys know, we are just delighted to have Vic as part of our team. Vic was running, was President of Pfizer’s Inflammation and Immunology business. So he is – he’s run big businesses, built several blockbuster brands. And I think he has perspective on – including perspective on access. But I will begin, David, by saying, we have good access, and I don’t know that we say that strongly enough to have 75%, 80% commercial access at this stage of the commercialization of the product is very strong. Now, on the Medicare and Medicaid side, we are working to improve that, but we don’t think, David, we are going to have to go the route of being more aggressive on rebates. We think we have a product that is recognized by the majority of the payers as bringing real value. But the fact that we have negotiated the contracts we have with the payers that we have suggest that, and on the couple that have – are still outliers, if you will, in terms of contracting, we believe we’re going to win the day on the product, not by having to give away rebates. But Vic, I don’t know, if you have anything to add on that.
Vic Clavelli: Yes, I will just add. I have been really impressed. I think we have an exceptionally strong access team here both in terms of our field-based national account directors who engage the payers as well as the pharmacy teams that support them. I think, the truth is the value proposition for XHANCE that’s very attractive to payers. And it only gets more attractive as there are more biologic entrants into the space. The guidelines are pretty clear that prescribers should optimize topical therapy before they progress to surgery or biologic therapies and we see a great opportunity to help them serve that need. And that’s worked well for the brand.
Peter Miller: It’s interesting, David. We have talked about this historically. I mean, our bigger challenge, I want to say, in the access front is making sure physicians understand our access and affordability because there is just this perception that branded products do not have good access and affordability and we in fact have – we think strong access in affordability. So, I hope that answers your question. On the CS trial, we don’t really talk about the value of the chronic sinusitis indication that much. But as this, but as a reminder, the real value of that indication is significant broadening of the physician audience, which will bring a benefit of a substantial number of patients that are in that audience. And the numbers, as about 10 million people are being actively treated by any physician, about 3 million of those patients are in ENT allergy, 7 million of the patients who have chronic sinusitis are in primary care. So, we think, arguably the CS indication is going to produce more value than the nasal polyp indication, just by the volume that can be generated in that segment. Obviously reaching 40,000 to 50,000 physicians, which is what’s necessary to optimize the opportunity in the primary care segment, we think is probably best done via partnering. And there are still a reasonable number of pharmaceutical companies in the primary care space, we think, that we will be good overlap or with products that they have that they’re currently calling on from doctors who are already calling on who are seeing chronic sinusitis patients. So, we are – I’ll just say, David, that we’re sort of beginning that whole process of making sure we really understand the opportunity from the market perspective and beginning, just initiating, you starting to have the conversations that are necessary to build toward that partnership.
David Amsellem: That’s helpful, Peter. And then, if I may just sneak in, a follow-up. Would it be fair to say that, with chronic sinusitis in the label, there would be significant expansion of DTC. And is that something that – how have you contemplated that, I guess, is the question. And what kind of ramp in spend, I mean, maybe in a qualitative sense would you expect even in the context of a co-promotion arrangement?
Peter Miller: Yes. I’m glad you brought it up, David, because potentially the greatest opportunity with the label expansion and reaching a lot of physicians where patients are potentially going to get move into, if they’re made aware of the product. And as a reminder, by the way, 30 million people in the United States have chronic rhinosinusitis, 10 million are being actively treated, but the 20 million who are not being actively treated are lapsed. In other words, we know that they have historically been in physician offices, but they frankly have sort of given up because there just aren’t options available that they feel are suitable for them. So, the 20 million people is that DTC opportunity. And I feel – my background is an OTC marketer, David. I think there is an enormous opportunity for DTC, particularly with label expansion. And as I said earlier, what we have learned from our pilot in DTC, we can activate patients even with a nasal polyp indication interestingly. So, we have – in the DTC, which you may or may not have seen, we appropriately have to say, we have to talk about nasal polyps. There is some patients, when they hear that, they say, hey, that’s not me, but I am reasonably certain, actually I am certain, David, if you say to people, do you have chronic sinusitis, 30 million people raise their hand on that. So, the ability to activate patients will only get stronger with our ability to communicate in DTC advertising. And the hold back right now for us, and I said this earlier, to make DTC an appropriate return on investment, we just have to make sure that activated patients turn into prescriptions by going to physicians who have awareness of the product. So, that’s what we’re trying to wrestle through, but in a label expansion world, I think it’s highly likely that DTC will be a major component.
David Amsellem: Great. Alright. Thank you, Peter.
Peter Miller: Thanks, David. Appreciate your comments.
Operator: I’m showing no further questions at this time. [Operator Instructions]
Peter Miller: I guess, with no questions, we will close down the call. We thank everybody for joining and look forward to our next update.
Operator: That concludes today’s conference. Thank you for your participation. You may now disconnect.